Operator: Good day, ladies and gentlemen, and welcome to the Golden Entertainment 2018 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I would like to introduce your host for today's conference, Mr. Joe Jaffoni, Investor Relations. Sir, please go ahead.
Joe Jaffoni: Thank you very much, Michelle, and good afternoon, everyone. By now, everyone should have access to our third quarter 2018 earnings release, which can be found on the Company website at www.goldenent.com, under the Investors section. Before we begin our formal remarks, we need to remind everyone that today’s discussion will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements, which are usually identified by the use of words such as will, expect, believe, anticipate, should or other similar phrases, are not guarantees of future performance. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our corporate working statements, and therefore, you should exercise caution in interpreting and relying on them. We refer you to the risk factors in our recent SEC filings, including our most recent Form 10-K as updated by our subsequent quarterly reports on Form 10-Q for a more detailed discussion of the risks that could impact our future operating results and financial condition and other forward-looking statements. During today’s call, we will discuss non-GAAP financial measures, which management uses and believes are useful in evaluating the Company’s operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our third quarter 2018 earnings release. Golden also provided supplementary information accompanying the earnings release, combined income statements for the third quarter and nine months period ended September 30th, 2018 for Golden Entertainment and American Entertainment. On the call today is Blake Sartini, the Company’s Founder, Chairman, President and Chief Executive Officer; and Charles Protell, the Company’s Chief Strategy Officer and Chief Financial Officer. Blake and Charles will review the quarterly results, recent strategic initiatives, and then outlook, after which we’ll open the call to your questions. Thank you for your patience with that. And it’s now my pleasure to turn the call over to Blake Sartini. Blake?
Blake Sartini: Thank you, Joe and good afternoon, everyone. Welcome to our 2018 third quarter conference call. Third quarter results we reported today were short of our expectations as market softness on the Las Vegas Strip impacted the stratosphere in addition the Stratosphere. In addition to Stratosphere had some construction disruption with the bulk of 2018 room renovations occurring in July and August. And one of our busiest food and beverage outlets the Strat Cafe was closed the entire month of September. As a result the Stratosphere had lower occupancy room rate and retail revenues over the third quarter when compared to last year. And in our prior calls, I have spoken about minimal disruption associated with our ongoing work at the property, and I would categorize the disruption in the third quarter as within the anticipated levels. Additionally, given the Stratosphere is lack of group being space our occupancy and rate trends were more pronounced during the week when compared to weekends. Without group meeting business, room bookings are highly reliant on OTAs and set to higher volatility than other Strip properties. Occupancy was lower about 5.8% for the quarter and as weakness materialized at strip, we maintained a disciplined room pricing strategy for the Stratosphere and as a result ADR was down 1.3%. Now turning to our distributed gaming business which in general remains healthy and growing. We have seen continued pressure within our chain store locations in Nevada resulting from rapidly changing consumer behavior. Such as increased use of cashless payment options, as well as curbside and home deliveries. We have discussed these factors on prior calls and we are an active dialogue with the owners of these locations to either change the economic terms of our relationships or overtime remove ourselves from this segment of the distributive business and continue to invest in our more profitable, wholly owned Tavern locations. Despite a challenging third quarter recent trends continue to reinforce our confidence in the long-term outlook for Las Vegas, and our portfolio of gaming assets. We currently see no signs that Las Vegas is losing its place as the leading destination for leisure and convention travel. Las Vegas is on pace to attract 42 million visitors this year, and is expected to grow in 2019. Rising home prices, falling unemployment, ongoing wage increases and elevated consumer spending in Las Vegas point to a healthy and growing local economy. Further, several major gaming and non-gaming development projects such as the Convention Center expansion, new north strip resort development and Raider stadium are well underway. Elsewhere in Las Vegas locals market, our two Arizona Charlie's properties at Decatur and Boulder Highway generated over 5% EBITDA growth on modest revenue declines, as we continue to improve operations and see further efficiencies in our marketing programs. To help our Las Vegas locals' casinos was a stark contrast to the overall environment on the strip during the third quarter. With our pending acquisition of Marnell Gaming's two Laughlin properties, the Edgewater and the Colorado Belle, we are excited to be increasing our presence in this growing $500 million Southern Nevada gaming market. When the operations of our existing Aquarius property are combined with the Edgewater and Colorado Belle casino resorts, we will control approximately 40% of the room inventory in the Laughlin market. In addition, we will own and operate the Laughlin Events Center which is directly across the street from our properties, and a key driver of visitation to the market. We expect our leading market shares at Laughlin will serve us well, particularly as core driving customers from Southern California and Arizona are joined by Las Vegas residents seeking a convenient weekend getaway with strip quality entertainment without the expense of strip markup. All three properties, the Aquarius, the Edgewater and the Colorado Belle delivered EBITDA growth in the third quarter, highlighting the strength of our diverse portfolio. Turning to our redevelopment plan at the Stratosphere. Our Phase one renovations remain on budget and on time for completion in early 2019. We have already completed the renovation of 254 rooms, the Strat Cafe and the refreshing of our six restaurant top of the world. We are now in the process of completing renovations of an additional 63 rooms and exterior lighting and landscaping by mid-December and will open a new tap room concept, sports book and casino lounge area on the main floor in early 2019. For our renovated rooms that went into service after Labor Day, we are seeing a range of $20 to $25 an ATR premium over our base room rate. While these are early results out of a small portion of the over 1,100 rooms we intend to renovate, the rate premium observed so far is in line with our expectations, and reinforces our confidence in the project. We are now beginning preparations for our phase two work which will include the renovation of over 450 additional hotel rooms. Our south casino floor remodel, various food and beverage outlets and the design of our plan meeting space. When complete in 2021, we will have renovated 1,133, open a new sports book and lounge area, refresh the interior and exterior of the property, added new food concepts and created attractive meeting space targeting approximately seven million business travelers coming to Las Vegas each year. To review we expect to complete the entire $140 million Stratosphere renovation in 2021and anticipate a minimum 15% return on our invested capital. We believe the Stratosphere renovations are necessary to make the property more competitive with other strip properties allow us to target midweek group business, reduce reliance on OTAs for bookings and ultimately increase occupancy and customers spend. Through September we have spent approximately $17 million on the Stratosphere renovations and intend to continue funding the remaining CapEx from our operating cash flow. As discussed, we have planned these renovations and phases over a three-year period. This approach provides us with flexibility to modify or delay certain aspects of the project should we change our long-term view on the opportunity with this property. As we look to 2019, we have several opportunities to grow our business and drive further improvements in operating performance. I've already mentioned the renovations we have completed and are continuing to make at the Stratosphere, the pending completion of our acquisition of two complementary assets in Laughlin, and the expected improvement of our Nevada chain store business. In addition, we are opening one new Tavern in the fourth quarter and plan five additional Tavern openings in 2019. We have also expanded our relationship with William Hill to manage all our sports books in Nevada and will extend our partnership into Montana and Maryland should sports wagering become legal in these jurisdictions. We are still evaluating our entry into new distributed gaming markets and believe that there will inevitably be continued expansion of this business across the country. Lastly, we are eager to roll out our new one card loyalty program in early 2019 which will allow our customers to earn rewards across our entire gaming portfolio. We remain confident of our prospects to create shareholder value in the coming year with initiatives already in place that would grow our business both organically and through M&A. However, we don't believe that our growth prospects are reflected in the current market price for our equity. Reinforcing this belief, our Board of Directors has authorized a $25 million share buyback program. In closing, we continue to be focused on refining our existing operations, positioning our company to be competitive over the long term, and continuing to generate significant free cash flow. All of which are targeted to increase shareholder value. I will now turn the call over to Charles.
Charles Protell: Thanks Blake. For the third quarter, revenues were $210 million, down 2% to the prior year on a combined basis with American casinos. Adjusted EBITDA for the quarter was down 7% to $38.1 million compared to $41 million in a prior year. Most of this decline can be attributed to the performance of the Stratosphere, but we were also impacted by weakness and a distributed chain store locations in Nevada. As we think about what to expect in the fourth quarter we see trends that suggest year-over-year improvement, as well as some improvement to the third quarter. However, we do not foresee the dramatic increases in occupancy and room rate at the Stratosphere in the fourth quarter, and therefore the company will not meet its prior full-year EBITDA guidance for 2018. For our Nevada casinos, third quarter revenue is $110 million, down 4.8% for the prior year on the same property basis, while adjusted EBITDA declined 8.8% to $31.5 million. Our Aquarius property in Laughlin grew EBITDA by 6.3%, while our locals Las Vegas Arizona Charlie's casinos grew EBITDA by 5.5%, reflecting the strength of our diverse casino operation in these unique markets. However, Stratosphere's EBITDA was down 23% for the quarter affected by the widely reported weaker occupancy and room rates along the Las Vegas strip. Revenue remained flat at Rocky Gap Resort while EBITDA declined slightly year-over-year to $6.2 million. I want to add some color as to what happened with the Stratosphere this last quarter, and why we remain confident in the opportunity to invest capital in this asset. As you know, the property represents only 2,400 hotel rooms out of almost a 148,000 rooms in Las Vegas; approximately 75% of the bookings are done through OTAs with over 50% of the reservations booked within 30 days and almost 25% within just seven days of arrival. With no meaning space to support midweek group business, the property is challenged to build a base of rooms at competitive rates with longer booking visibility. In addition, rated casino players currently make up less than 6% of the occupancy, which limits the property's ability to drive increased overall occupancy with direct offers to our database. When the market leaders on the strip are dropping room prices to maintain occupancy levels, the Stratosphere will suffer increased pressure on both occupancy and price. Conversely, when city wide conventions fill up the strip, Stratosphere benefits and picking up marginal rooms and rate for those events. To put this in specifics for the quarter, Stratosphere's RevPar was down 7%. Obviously, this was not our plan for the third quarter, and we are encouraged to see some improving trends early in the fourth quarter. However, we believe this highlights why we feel our renovations at the Stratosphere are necessary and prudent to make the asset more competitive. Upgrading almost half the room product, renovating F&B outlets, updating the property visually and adding group meeting space. We understand the $140 million of free cash flow has alternative uses, and we will continue to be disciplined around the budget for this project. Turning to our Nevada distributive business. Total revenues during the third quarter were $65.5 million, a slight year-over-year increase. Adjusted EBITDA $8.4 million was down 8.2% compared to last year, as growth in our wholly owned Tavern portfolio continues to be offset by weaker contribution from chain store locations. We expect to see improvement in our Nevada distributed operations in future periods given our commitment to not renew unprofitable chain store agreements. In Montana, our distributed business generated revenues of $15.7 million, an increase of 5.4% compared to last year. Adjusted EBITDA for the Montana distributed business was flat at $2 million for the quarter as we continue to invest new game product and sales people in Montana, which is compressing near-term margins but these initiatives are helping drive revenue growth and market share gains. Corporate expenses of $9.9 million in the third quarter which is roughly 9% lower than the $10.9 million of expense recorded in the prior year, reflecting continued recognition of costs energies from our acquisition of American properties. Corporate expenses will likely increase in the fourth quarter as we prepare for the rollout of our single loyalty card program next year, and continue in our efforts to close and integrate the pending acquisition of Edgewater and Colorado Belle properties in Laughlin. Moving to the balance sheet. We have cash and cash equivalents in the third quarter totaling $132 million and total outstanding debt of approximately $1 billion. LTM net leverage was 5.3x at the end of the third quarter. We expect to end the year at approximately 5x net leverage, and will likely see that tick up slightly in the first quarter of 2019 as we complete the acquisition of the Marnell Gaming assets. We intend to use cash on hand and our unfunded revolver to pay $155 million cash portion of the acquisition. Given some of the concerns I've heard about leverage and floating rate debt, I want to highlight the blended rate on our credit facilities is approximately 6% with 65% of our outstanding debt hedged at the current rate. I'd also highlight our credit facility has no financial covenants and our nearest funded debt maturities in six years in October of 2024. In addition, today we upsize our revolver capacity of $200 million without changing any pricing or terms of our existing credit facilities. Total capital expenditures for the quarter were $21.5 million with approximately $10 million spent on the Stratosphere in the quarter. As Blake mentioned, we intend to fund all our planned future travel expenditures for operated cash flow. Which pro forma for acquisition in Laughlin will be in excess of $100 million annually? In first quarter of 2019, we anticipate having approximately 29 million shares outstanding after issuing equity in Marnell Gaming. So you can do the math on our equity free cash yield relative to our current stock price. Our casinos and distributed gaming operations continue to generate significant discretionary free cash flow. Over the near term, we tend to use it to reinvest our existing assets, reduce our leverage and return capital to shareholders. That concludes our prepared remarks. Operator, please open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of David Katz with Jefferies. Your line is open. Please go ahead.
Eric Lockenvitz: Hi, guys. This Eric Lockenvitz on for David. How are you today? Great. So I just want to touch on some of the weakness you saw on the quarter in the distributed side. Can you just talk little bit about, and you mentioned the renegotiation of some of the contracts but just talk about how you're seeing those trends going to the fourth quarter?
Charles Protell : So from the fourth quarter perspective, we actually see those trends stabilizing. I mean just to give you a sense of how far these chain stores have fallen. Their contribution to the business from an EBITDA basis was double in the same period last year. So again we've fallen quite a bit on a year-over-year basis. That's massed quite frankly very healthy growth that we've seen in our Taverns and the base distributed business with third parties. So we are excited to move forward and like we've said, we will not continue to pursue and operate these changes to our locations extent we can't make them profitable for the company.
Eric Lockenvitz: Great. On the improvement in Tavern, are you seeing a lot of that from new Tavern openings or just the existing organic growth?
Charles Protell : So, both, so our new Tavern openings, clearly we've got a format that has done better. I would say if you compare that to the overall Las Vegas locals market within the third quarter, our new taverns are on a revenue basis performed better than that. Where our old taverns depending on where they are and located perform in line a little bit lower than that.
Eric Lockenvitz: Okay, great. And then just switching to the Stratosphere, and talking about kind of the results there, do you feel like the improvement you've been seeing in the fourth quarter is that coming mostly midweek or are you seeing more improvements in the weekends?
Charles Protell : For us it's both. I mean we see it; again, I don't think we want to give too much guidance around the fourth quarter other than that what we've already said which is that we see modest improvement. At this point, our visibility as we said is relatively low relative to where other assets are with group meeting space. So modest growth on a year-over-year basis is where we are seeing modest improvement in the third quarter across the board both on the weekend as well as midweek.
Eric Lockenvitz: Great and then just one last question on the OTAs. Can you just talk about how you've seen the dynamics of trying to reduce reliance on the OTAs? And how that's been shaping up lately?
Charles Protell : Look, from our perspective when you don't have a lot of alternative sales channels we are relying on the OTAs. And again, as the property sits now it's our view and we knew this going into buying these assets that this is why we need to make this investment. So we don't have to be as relying on the OTAs. Couple of things is going to help that in addition to the group meeting space. The one card loyalty program that we're rolling out early next year will allow us a better visibility into the casino database. And we'll get some lists out of that, but again as I mentioned, that's less than 6% of the occupancy right now. There be a lift that you're going to see out of that as once we get the room meeting space put in place, and we're able to compete for that business which should make up roughly 15% to 20% of the room nights of the asset when it's all said and done.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Mr. Blake Sartini for any closing remarks.
Blake Sartini: Thank you, operator. And thanks to everyone for joining us today. We look forward to updating everyone on our continued progress when we report our fourth quarter results.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone have a great day.